Operator: Good afternoon, and welcome to Skyworks Solutions Fourth Quarter Fiscal Year 2013 Earnings Conference Call. This call is being recorded. At this time, I will turn the call over to Steve Ferranti, Senior Director of Investor Relations for Skyworks. Mr. Ferranti, please go ahead.
Stephen Ferranti : Thanks, Greg. Good afternoon, everyone, and welcome to Skyworks' fourth fiscal quarter 2013 conference call. Joining me today are Dave Aldrich, Don Palette and Liam Griffin. Dave will begin today's call with a business overview, followed by Don's financial review and outlook. We'll then open the lines for your questions. Please note that our comments today will include statements relating to future results that are forward-looking as defined in the Private Securities Litigation Reform Act of 1995. Actual results may differ materially and adversely from those projected as a result of certain risks and uncertainties, including, but not limited to, those noted in our earnings release and those detailed from time to time in our SEC filings. I'd also like to remind everyone that the results and guidance we'll discuss today are from our non-GAAP income statement, consistent with the format we've used in the past. Please refer to our press release within the Investor Relations section of our company website for a complete reconciliation to GAAP. With that, I'll turn over the call to Dave for his comments on the quarter.
David J. Aldrich: Thanks, Steve, and welcome, everyone. I'm pleased to report that we delivered a strong close to the 2013 fiscal year, with fourth quarter results beating our prior expectations on the top and bottom line. Our out performance was driven by our expanding diversified analog footprint and growth in custom solutions for connectivity platforms coupled with a laser focus on execution. During the fourth quarter, we posted revenue of $477 million. That's up 9%, sequentially, and more than 13% versus last year. We produced operating income of $130 million, that's up 26% versus last year. We earned $0.64 in diluted earnings per share, up more than 20% versus last year and $0.02 ahead of our guidance. We also generated $166 million in cash flow from operations. Our strong fourth quarter performance closed out a record 2013 for Skyworks. To recap, for the full year, we posted over 14% top line growth, achieving revenue of nearly $1.8 billion. We grew our operating income by 19%, exiting the fiscal year with operating margins of 27%. And we generated over $0.5 billion in cash flow from operations. We also repurchased over 8 million shares of our common stock at an average price of $22.75 per share. The growth, profitability and cash flow metrics that we achieved in 2013 put us among the best-of-breed within our broader peer group and highlight our differentiated business model. Looking ahead, we see this momentum continuing. Our strategy of aggressively investing in diversified analog markets, while capturing more value through custom system solutions will enable us to continue to drive above market -- above market top line growth, profit margin expansion, strong earnings leverage and robust cash flow. For more detailed commentary on the quarter, I'll now turn it over to Don for his financial review and outlook.
Donald W. Palette: Thanks, Dave, and thanks again for joining us, everyone. We appreciate that. I'm going to provide a more in-depth review of our fourth quarter results and then outline our business outlook for the first quarter of fiscal 2014. Revenue for the fourth quarter was $477 million, and that's up over 9% sequentially, and more than 13% year-over-year. Gross profit was $211.8 million or 44.4% of revenue, ahead of the midpoint of our guidance range and up 150 basis points from a year ago. Operating expenses were $81.5 million, consisting of R&D expense of $49.2 million and SG&A expense of $32.3 million. Operating income was $130.3 million for the quarter. That translates into 27.3% operating margin. Our cash tax rate was 7.3%, slightly better than our prior forecast based on favorable year-end tax adjustments. Net income was $121.2 million or $0.64 of diluted earnings per share, and that's $0.02 better than our guidance. Turning to the fourth quarter balance sheet and cash flow statement, we generated $166 million in cash flow from operations, we invested $38 million in capital expenditures, with depreciation of $19 million, exited the fiscal year with $511 million in cash and no debt. And we repurchased over 800,000 shares of our common stock. For the full fiscal year, we produced $508 million in cash flow from operations, with free cash flow of $384 million. That represents over 8% free cash flow yield based on our most recent stock price. Finally, our return on invested capital was 20.5% for fiscal 2013, well ahead of our weighted average cost of capital. Turning to our first quarter 2014 business outlook. We expect Q1 revenue to be $500 million, our first quarter as a company at a $2 billion annualized revenue run rate. We expect gross margins to continue trending higher and recommend modeling at 48% drop-through of incremental revenue to the gross profit line. That translates in the first quarter gross margin of around 44.5%. We expect operating expenses to be approximately $82.5 million, resulting in operating margins of 28%, and that's a 270-basis-point improvement from Q1 of 2013. Over the course of fiscal 2014, we expect continued margin enhancement driven by growth of our diversified analog business and by capturing new customized content across the world's leading connectivity platforms. All the line, we anticipate $100,000 in expense from interest income and other expenses, and a cash tax rate around 10%. We expect our cash tax rate to remain at these levels for the remainder of 2014 fiscal year. As a result, we expect Q1 EPS of $0.66 using a base of 191 million shares. Many of the drivers for a strong 2014 are in place today, giving us a high level of confidence in our growth trajectory over the course of the year and putting us on a clear path to achieving our midterm business model of 30% operating margins at a quarterly revenue level of $550 million. And just as a reminder, this would produce around $3 in annualized earnings per share. And with that, I'll turn the call back over to Dave for his comments on our market trends and growth strategy.
David J. Aldrich: Thank you, Don. We're quite pleased by our recent financial performance. And more importantly, we're excited about 2014 and beyond. Our consistently strong business results reflect the healthy underlying trends in our served market and our success in capitalizing on these opportunities. These include the widespread adoption of connectivity in all its forms across a diverse set of end markets. The dramatic increase in analog complexity driven by the proliferation of communication protocols and enhanced functionality, and OEMs need to align with partners capable of providing a total system solution that maximizes performance. So for the remainder of the call, I'll discuss how our business strategy is designed to capitalize on these trends, generating above market growth with best-in-class financial returns. At a high level, there are 2 underlying components to our strategic plan. First, we're aggressively investing in growth opportunities across diversified analog end markets. And second, we are capturing more value to highly customized system solutions. The end result is that Skyworks facilitates the adoption of all forms of connectivity within devices, across the supporting infrastructure and throughout the broad markets. Starting with the broader market opportunity, it is clear that connectivity has evolved into a critical enabling technology within the traditional analog landscape, and in fact, represents the biggest growth vector in these markets today. Just as an example, General Electric recently announced that it will incorporate Machine-to-Machine communications across its entire industrial portfolio, including jet engines, including locomotives, turbines and medical devices, representing millions of GE products in total. This is just one example of how traditional analog end markets like industrial, medical, automotive are embracing connectivity. In many cases, for the first time and intersecting directly with Skyworks' core competencies, these are highly attractive markets for us, characterized by longer product life cycles, far fewer competitors and higher margins. Skyworks participates in these markets by leveraging core analog and mixed signal design capabilities and a very broad product catalog. Our portfolio spans all connectivity standards and includes power management ICs, panel lighting and display modules and switching solutions, along with more traditional analog products. This opportunity creates -- the opportunity that this creates is tremendous. And for example, Cisco forecasted there will be 50 billion connected devices by 2020. In fact, we recorded a number of new design wins during the quarter that illustrate our growing diversification in areas like medical. This is a newer market for Skyworks, relatively small in size for us today, but it is representing a significant growth driver in the coming years. We build the presence in this market through investment in product line expansion and field applications engineering teams and systems development. And for example, in the fourth quarter, we won a custom optical emitter detector module with Varian Medical for oncology radiation applications. We've also been designed into Magnetic Resonance Imaging or MRI applications, where we provide switch matrices for reactors and limited diodes -- limiter diodes, utilizing literally dozens of Skyworks devices. In total, we provide a portfolio of the analog solutions for a wide range of medical applications like hearing aids and glucose monitors, heart defibrillators and patient telemetry applications. And we're already aligned with the major medical equipment makers like GE Medical, Boston Scientific and Medtronic, among others. Our Q4 design wins also include a diverse set of applications like DC/DC convertors and LED backlight drivers for automotive displays at LG. Like power management ICs and ZigBee Front Ends for WNC's portfolio of remote lighting, in-home monitoring security platforms. Low noise amplifiers for the broadcast microphone portfolio at Shure. Hi-rel analog solutions with Cobham, EADS and Teledyne and low-power Smart Energy solutions supporting communications hubs, meters and in-home displays with Silicon Labs. In summary, we're quite excited about the breadth of new market opportunities that deploy Skyworks' technology. Turning to the second component of our growth strategy, we are capturing more value through highly customized system solutions. Growth of connected devices is projected to continue at a healthy pace for the next several years, but more importantly, Skyworks' addressable content is being driven higher. By the adoption of precision location-based services and upgraded local area connectivity, both of which require highly customized isolation and shielding to avoid coexistent issues with adjacent communication protocols. High-performance power management ASICs and LCD backlighting to support higher resolution displays and more complex camera flash approaches. System-level architectural trends like tuning, carrier aggregation and diversity to maximize data bandwidth within today's spectrum constraints, and brand proliferation with significant expansion in global 4G, LTE capabilities. The net result is an expanding addressable market opportunity for Skyworks. And in fact, it's not uncommon for us today to target addressable content of more than $12 within leading platforms. This is more than twice that of just a few years ago, and we see numerous opportunities to continue adding new content in the coming years. So in closing, our force -- our fourth fiscal quarter marked another strong performance for Skyworks, and we are optimistic about our prospects for 2014. Our strategy of growing our diversified analog footprint, while capturing more value through custom system solutions will enable us to continue producing best-in-class results. This concludes our prepared remarks. So operator, let's open the lines for questions.
Operator: [Operator Instructions]. Your first question comes from the line of Harsh Kumar from Stephens.
Harsh N. Kumar - Stephens Inc., Research Division: A couple of questions. First of all, in your business highlight section of the press release, there was not a single cellphone design win. So when you talk of diversity, Dave, are you talking about diversity of revenues into analog, or more specifically, diversity of revenues into analog away from cellphones?
David J. Aldrich: No, Harsh. Thank you. It's not away from cellphones. It's more the fact that the smartphone market, tablets and the like, they're very large components and drivers of a broader connectivity landscape. So when we talk about connectivity, we talk about location-based services for example, Wi-Fi connectivity, power management and expanding our footprint. We're talking about mobile as well as the Connected Home, as well as medical application, the automobile, Machine-to-Machine. So we're really talking about connectivity in a more broad sense.
Harsh N. Kumar - Stephens Inc., Research Division: Okay. And then as a follow-up, could you, Dave, maybe talk about your assumptions for the China market in the near-term and even the Korean market on the large customer there? There's been a lot of talk that there's variations going on in the order activity. Any color that you can give us would be helpful.
Liam K. Griffin: Harsh, this is Liam. With respect to China, we have a very strong position there as we've had in the past, with all the major players, MediaTek, Spreadtrum. We've seeing great opportunity going into 2014 and beyond, as they move through an upgrade cycle that's really is in the early innings. As you know, probably 80% of the subscribers today in China are carrying a 2G phone. MediaTek for example, moving from dual- to quad-core chipsets. Supporting customers like Lenovo and CoolPad and others, great partnership for us. And I think, one of the opportunities you should see is not only an expansion in our core power amplifier and multi-band, but also will start to weave in Wi-Fi and power management, GPS and other capabilities around analog. So that should be a growth for us. And with respect to Korea, we have seen in some cases, some inventory correction there, but it's all been factored into our guidance. Nothing that surprises us, and nothing that will impact our numbers.
Operator: Your next question comes from the line of Mike Walkley from Canaccord.
T. Michael Walkley - Canaccord Genuity, Research Division: Don, just a quick housekeeping question. Can you just give us a split between the handset and HPA business, and then I have a follow-up question.
Donald W. Palette: Sure, Mike, it's consistent where we've been [indiscernible] it's 40% HPA and partially 60% handset.
T. Michael Walkley - Canaccord Genuity, Research Division: Great. And if we just look longer term, we're a big believer also in the Internet of Everything and Machine-to-Machine market. But with the opportunities you highlighted, and the growing band LTE et cetera. Over the next year or 2, it seems like the TAM of just of handset side of your business grows to double-digits, so do you anticipate the next staying similar for you 2 businesses over time?
David J. Aldrich: This is Dave, Mike. No, I don't. I think that the non-handset component of our business will grow and become a larger component than the 40% that it is today, because we talked about medical in the prepared comments. It's a relatively nascent market in terms of connectivity, but the opportunities are exploding, Machine-to-Machine. So I think, the year-over-year growth rates in connectivity into some of these newer burgeoning markets is going to grow -- allow us to grow faster. You're right. Within mobile, what we're really seeing is not so much of the growth coming from traditional products, but being able to provide more custom system solutions and incorporate power management location-based services, like Wi-Fi connectivity and lighting and display. So we done a -- we think a good job of adding more content growing that way within mobile -- it's highly defensible, it's higher margin and then continuing to round out our market portfolio.
Operator: Your next question comes from the line of Vivek Arya from Bank of America Merrill Lynch.
Vivek Arya - BofA Merrill Lynch, Research Division: Dave, how's the visibility into the flagship models for 2014? So if you, for example, look at the top 3, 4, 5 models that you're in today, would you expect your content to be flat, up or down next year? Any color would be helpful.
David J. Aldrich: Well, I think, Vivek, if I could answer that question more broadly, there is a trend that is not slowing down and that is -- these devices in general, high-end smartphones as well as the upgrade cycle from 2Gs feature phones to smartphones in places like China, is sweeping in much more content and complexity, the screens are becoming, in many cases bigger, but in all cases a higher resolution, the cameras are moving to do full-flash AMOLED technologies. You're starting to see more complex power management and voltage regulations systems required to support low-current consumption. Connectivity with GPS and Wi-Fi being virtually across the board, so I think in general, you should look at the content gains for a broad analog provider like Skyworks, continuing for many years to come. I don't see that slowing down. And then, I think, as you start to see connectivity in its nascent state moving into these other markets, you'll start to see a shift towards a more balanced portfolio of end markets for Skyworks, in addition to a much broader set of functions, customized into a system solution. It's sticky, it's defensible, and we make much higher margin in those class of products.
Vivek Arya - BofA Merrill Lynch, Research Division: I see. And as a follow-up, Dave, I always very surprised to look at the growth rate you guys have delivered versus the discount that your stock sells at versus say, TriQuint or Avago, presumably, one of the factors is that those guys have access to broad FBAR filters, and you perhaps do not. I'm wondering, are you being, I don't know if handicap is the right word, but are you being held back in any way in going after certain sockets or do you think you might undergo their growth rates because you don't have access to broad FBAR filter capability?
David J. Aldrich: Vivek, that's the first time I've heard the question asked quite that way. I feel absolutely not. Filters has not been an impediment. If you look at closely at tear down reports of those platforms that use filters integrated with other devices, I think, we're the largest. We produce many, many filters, and we participate broadly, and I think our model is quite unique. We don't sell discrete filters, and I think, that's a big advantage for us. We like the margin structure of more highly customized solutions and integrated solutions. And what we're able to do in SkyOne and PADs and our GPS modules is we're able to couple the very best process with the frequency or with the application. For example, below 2 GHz, if you look at those tear down reports, if you look at our product portfolio below 2 GHz, we use surface acoustic devices and when its spacing is narrow, the frequency spectrum spacing is narrow, we use temp comp saw[ph] devices from a different supplier. Above 2 GHz, in some cases when there is narrow spacing, we'll use a bulk device. As we have strategic partners that are giving us a very good pricing with quite differentiated solutions in each one of those technology nodes. So, no, it's not in the least bit hampering our growth in the margin structures for those products are quite good.
Vivek Arya - BofA Merrill Lynch, Research Division: One last one, if I can squeeze it. If you look at the non-handset market, I would assume that it would be able to grow faster for you guys in the handset market because those are new under-penetrated markets. So if you could address that? And is it fair to assume that those are more profitable markets for you?
David J. Aldrich: It is, as I mentioned earlier, we expect a ratio of 60-40 to swing over time. More growth in these markets for the very reason you've highlighted. They're nascent adopters of connectivity but the growth rate, sequentially, we expect to be very strong. And because of our very broad system portfolio, we are able to address it. In those cases, many of these customers are not proficient at all in connectivity, and in wireless and we're able to land a complete solution that make it very easy for them to get to market. So we expect to grow very fast there.
Donald W. Palette: And almost all of those are accretive as far as the return standpoint.
Operator: Your next question comes from the line of Quinn Bolton from Needham & Company.
N. Quinn Bolton - Needham & Company, LLC, Research Division: But my first question, Dave, is are you guys broadcasting from the side of the Analyst Day?
David J. Aldrich: I'm sorry, say that again?
N. Quinn Bolton - Needham & Company, LLC, Research Division: Are you guys broadcasting tonight's call from [indiscernible]...
David J. Aldrich: No, unfortunately, we're not. We're here in the dark conference room in Woburn, Massachusetts. I wish we were though.
N. Quinn Bolton - Needham & Company, LLC, Research Division: Sorry. I just had to ask. On a serious note, just a quick question, you talked in some of the prepared comments about the mix shift of some of that opportunities in analog, and I'm just wondering, within HPA, can you give us a sense what percent of HPA is in sort of the non-mobile device segment? is that may be the half of HPA and does it -- it sounds like the non-mobile side of HPA, probably used a faster growing part of business over a long period of time. If that's the case, do you think ultimately you can drive to a better than 47% incremental margin as you see that mix shift kick in?
David J. Aldrich: Yes, I think it is definitely much more in the non-mobile than it is in the mobile. And I think what you're referring to, Quinn, must be that, we have Wi-Fi solutions that we sell broadly and everywhere. And some of those solutions do, in fact, go into smartphones and tablets. But I think broadly speaking, again, we expect the non-mobile piece of our business to grow more quickly over time than the mobile piece. They are accretive to margin. And it will over the long haul continue to see -- help us improve our returns. And in fact, as Don talked about in the prepared remarks, this quarter we guided to about 28 points. Although in the midterm we see 30 points at $550 million of revenue a quarter. We're $500 million now. And that's a function of diversification within custom analog solutions in mobile, outside of mobile and our entry into new markets.
N. Quinn Bolton - Needham & Company, LLC, Research Division: Then just a quick follow-up on the PA side. Qualcomm's out with RF360. It looks like Peregrine Semiconductor just announced the new SOI-based process that they could integrate PAs and switches. Are you guys looking at silicon germanium as a platform for integration? Or are you seeing pretty good demand for modules like SkyOne and don't necessarily see silicon germanium is the right integration platform?
David J. Aldrich: It's interesting. The answer is yes to both. We see SkyOne. In fact, we have our first 2 customers who are ramping production now. So you'll be able to buy 2 different high-end phone -- or high-volume phone models this year. We're excited about that. We have other customers coming online. So it's a great sort of highly integrated and also high-performance solution. It by the way contains SOI content, silicon content, as well as other process technology. Again, focusing on the right process for the function and integrating it in a very inexpensive way using our proprietary manufacturing techniques. We probably ship -- in our connectivity markets alone, we ship over 100 million SOI and silicon germanium devices a quarter. So I think we're probably the biggest procurer of SOI wafers. And we ship more than anybody, I think, in the market today. I believe that's right. So we're quite agnostic. We will ship SOI, silicon germanium. We will ship HBT. And we will ship pure bulk CMOS. Again, focusing on what's the best process for the function where we will have a fair and a high return, and we can provide the appropriate level of integration for the customer.
Operator: Your next question comes from the line of Vijay Rakesh from Sterne Agee.
Vijay R. Rakesh - Sterne Agee & Leach Inc., Research Division: Good numbers here. I had a question on the gross margin line again. How much room do you have there? Obviously, it has come up very nicely and you're well above your peers. How much room do you have there as you look at fiscal '14? And what are the levers there to improve that?
Donald W. Palette: Yes, Vijay, this is Don. I mean, the best way to do that is the way we've been talking about modeling it. I would continue to use the 48% incremental margin on all the increased revenue contribution, and that's -- the underlying assumption is, when Dave talked about 30% at $550 million. So take the latest guidance and drop that incremental revenue through at 48%, and you'll see the margin expansion opportunity. But then the real opportunity longer term -- that's short term -- longer term is, as we continue to provide more and more of these complex systems solutions and move towards more and more analog, we would expect that contribution to increase over time. But for '14, that's not the way to model it.
David J. Aldrich: And Vijay, I'd add to Don's comment. You've asked the question in an interesting way. You said our gross margin is above our peers. I don't look at it that way. I think our gross margin today is below our peers. Our operating income is in line with the best among the diversified analog companies. But if you look at companies who are in power management, voltage system solutions around analog mixed signals, their gross margins are higher than ours. And that's where we aspire. I think when you talk about our peers, we don't compare ourselves to traditional PA-like companies, we compare ourselves to highly-diversified, well-run analog companies.
Vijay R. Rakesh - Sterne Agee & Leach Inc., Research Division: Got it. Good to have high aspirations there. Going on to the Qualcomm RF360, are you seeing that in the market? I mean, is there -- how do you see -- do you see that taking away from the RF market next year with some of those integrated solutions there?
David J. Aldrich: You know the short answer to that today is no. And the reason for that is, the vast majority of our OEM customers continue to look for custom solutions with very high performance requirements. And they raise that bar with every new model. I suppose there could be and will be a narrow market with less stringent performance requirements that would utilize a pre-configured system in a package. But even in this segment, we tend to win with configurations like SkyOne, different approaches to MMMB technology, PADs and so on, that are more configurable with a very low cost structure. So in short, we see no impact to our business model and don't see it for the foreseeable future.
Operator: Your next question comes from the line of Steve Smigie from Raymond James.
Jonathan Steven Smigie - Raymond James & Associates, Inc., Research Division: Great. Just following-up, you guys had a very nice performance here and guidance. And I was just wondering if -- given that if you could talk a little bit about your cycle times and how you go to market with your customers given your record of performance here. Do you think you're able to, say, hold less inventory and able to deliver it more quickly? So part of the question is, how quickly or how soon ahead of when your customer's product ramp are you able to ship? And do you think that's better than maybe what your peers are doing that leads you to give some better performance and better guidance?
David J. Aldrich: Our inventory turns right now are pushing 5, we think that's good. We can do better over the long haul. We have aspirations to just continue to reduce our cycle times to increase those turns. That's an aspiration we have across the balance sheet. Our cycle times range from a few weeks in processes in which we're vertically integrated to a couple of months where we have to go out and buy things like CMOS controllers and SOI devices. So I think we have -- and we're able to because we do our own assembly and test. And we think we're pretty fast on our feet. I do think we have a cycle time advantage vis–à–vis our competition, and we don't see any issue intersecting with our customer ramps or supporting those ramps based on cycle time.
Jonathan Steven Smigie - Raymond James & Associates, Inc., Research Division: Okay, great. And then just a follow-up on the gross margin and your point about seeing the analog guys more as your peers for gross margin. Is it fair to say that as technology evolves here that it's a more full featured SkyOne solution, et cetera, that would allow you to get to that gross margin that you're talking about? Or could you still do it even if you had like, say, a one-off PA for, say, an LTE phone is -- given cost improvements or whatever, could you potentially get to maybe a 50% gross margin or something just on a PA?
David J. Aldrich: Steve, I think I'd look at it this way. The standalone PA is becoming increasingly a smaller percentage of our business. It's not what is driving the long-term return and growth of the market. When we look at mobile, we look at mobility in terms of a smartphone. We really think that the customer base is becoming less interested in differentiating at the chipset level and looking for companies that are broad, that are smart, that can ramp quickly and support future cost structures that will enable high usage. And there aren't many companies who could do that. So we increasingly don't sell components. We don't want to promote the component business because it's too easy to create competition among the OEMs. So what we do is, we focus on customization. We have, for example, in location GPS modules that we're selling by the hundreds of millions right now, and those GPS modules are fully shield and filtered. It's patented. It's proprietary processes using our own manufacturing. And no one else can do it. And we get paid a premium for it. The Wi-Fi upgrade to AC using SOI and SIGI [ph] and other technologies and our own packaging gives us a differential performance advantage. When we do SkyOne, it's kind of the ultimate because we give them everything from the output of the transceiver to the antenna and everything in between, and it's completely custom. It's all ours. And we don't compete with anybody for components. So it's not a PA business. It's a system solution business that is mixed signal and analog. It is mobile to the sense that there are a lot of smartphones sold, but is increasingly markets that are growing into connectivity in this overall fabric called broad market connectivity, where we think we're broader. We think we have the scale. We know we have the customer relationships. And that's where our growth in margin and revenue is going to come from over the next many years.
Operator: Your next question comes from the line of Blayne Curtis from Barclays.
Blayne Curtis - Barclays Capital, Research Division: Maybe if you could just talk about, I mean, obviously, I probably should start with the nice guidance. And I would say, some of your peers have talked about corrections at some of the smartphone vendors. If you could just talk about broadly the space, and you, obviously, are offsetting that. But are you seeing any end-of-the-year corrections as many else have?
Liam K. Griffin: Yes, Blayne, this is Liam. We noted earlier on a prior question that there was a little bit of a correction in Korea. We had visibility to that. It's completely factored into our guidance. And with that account, I should add that we're doing quite well on new product upgrades in the next cycle of smartphones there. So it really isn't anything to be concerned with. We understand it. We recognize it. But it's been fully monetized into our numbers.
Blayne Curtis - Barclays Capital, Research Division: Got you. And then you probably don't want to guide -- talk too much about Q1, I mean, some of your peers have talked about a more normal pattern in Q1, down double digits. If you can maybe talk about whether there's any factors that would be offsetting of any sort of normal trend, and what you consider a normal trend into Q1?
David J. Aldrich: Yes, I think -- in fact, Blayne, if you go back and look at the last few years, it's obviously a little too early to give specifics about March. It's normally a seasonally down quarter. It will be that way probably this year. But this trend that we're seeing with these new products from Skyworks that are solving some unique difficult problems our OEMs are facing. We're getting them get designed in now, and they're going into production this quarter, next quarter and quarters beyond. So we're seeing an uptake in SkyOne. We're seeing an uptake in a number of different power-based devices and lighting devices, both within mobile and outside of mobile. So I think like prior years, we expect to do better and -- to do substantially better than what would be a normally seasonally down quarter.
Blayne Curtis - Barclays Capital, Research Division: Okay. And then if I can just get one more. I apologize -- there's a couple of calls tonight -- if you already answered this. But the prior answer to SkyOne was, you had parts but there hasn't been a lot of uptick. But has something changed and that you're seeing a more meaningful uptick there?
David J. Aldrich: Yes, we have 2 customers that have gone through type approval. They're ramping now. And there'll be phones available in late November, December. And we have more to follow.
Operator: Your next question comes from the line of Edward Snyder from Charter Equity.
Edward F. Snyder - Charter Equity Research: Dave, a couple of questions. First, what do you think your blend is, GaAs versus everything else? And by that I mean, in all its implementations, both in your analog business and then also in cellular? And then, kind of a similar approach, other technologies like SOI, particularly in cellular. It's clear that a lot of the bigger handset guys are moving -- I don't want to say more and more away from GaAs because it's still the core technology -- but certainly, other technologies are playing a bigger role in leading with these other OEMs. I'm just kind of curious of how that mix is working for you guys right now.
David J. Aldrich: Yes, I think your basic question is correct. We're seeing, yes, this hybrid model, this fab-light model works really well for us now because we have been scaling up SOI, scaling up CMOS, scaling up other process nodes and technology. And we've been working on those for years. While at the same time, GaAs is an important enabler for certain high-performance applications for the output, transmit -- the output stage of the PA, for example, in most applications, but we're seeing a much bigger and faster growth in CMOS and silicon. To this point, I think we're much less than 1/2 on a device-by-device level, much less than 1/2 gallium arsenide than we are silicon as broadly defined.
Edward F. Snyder - Charter Equity Research: Great. And then last year, you were kind of punished because expectations got out of hand for this time with a big new product launch. It sure seems it's been going on much better. And it's no secret, I mean, you haven't had the problem that your peers had with a really lopsided -- this kind of allocation of revenue between the 2 quarters, September and December. Is that one, just that you have a higher module content than most of your competitors, so that you're spread over evenly, I think, which hurt maybe last year? Or how much leverage, not leverage, but how much control do you have in terms of how you stack up your shipments or just manage it tighter than them? I'm trying to figure out how you came off so much better than your peers in a quarter that was heavily skewed for just about everybody.
David J. Aldrich: We have no control over how we skew shipments. We ship to our customers demand. In effect, we run 99% on delivery the customer requests. So we have no visibility. We have [indiscernible] and much of our revenue comes through [indiscernible] and there is no flexibility there whatsoever. So I think it's more about the diversified nature of our business even though you see some OEMs in a quarter that don't do as well as others. We tend to be shipping to all of them. We do manage our turns very closely so that we have short cycle times, and we're able to ramp up and down quickly.
Liam K. Griffin: Yes, and one other comment I think that we've noted throughout the discussion today is that, again, it's not just the power amplifier and the traditional multimode, multiband devices. It's an uptake in what we call our mobile analog, where we're delivering all those technologies that Dave mentioned, Wi-Fi, very, very intense switch applications, now we add ASM, antennas healing, seeing a substantial increase in those devices that wrap around that core in power amplifier.
Donald W. Palette: And that's across all OEMs. I mean, that's the power of the increase, too.
David J. Aldrich: Exactly.
Operator: Your next question comes from the line of Mike Burton from Brean Capital.
Michael A. Burton - Brean Capital LLC, Research Division: Don, first on OpEx, great job there. Sticking to your word and keeping that flat. Can you help us heading into next year, what are some of the factors that may move that number around, for example, the merit increases or just running the top line will demand a greater R&D investment?
Donald W. Palette: Yes, thanks for the question, Mike. We've been pretty consistent about when you're modeling that you might see -- expect maybe about $1 million a quarter, and that's kind of what you're seeing with the guidance in this last quarter, a little bit above that. Midyear, midyear for us is starting in the June quarter. We do have a merit increase and a significant amount of OpEx is labor. So that will affect that. And we're making targeted investments, both in R&D and our marketing and sales field apps. So for these investments are, in our minds, going to pay -- contribute a lot of shareholder value down to return because it's going to allow us to position our product portfolio to gain share. So we view these as very critical. So by the end of the year, and that's the calendar year, you could expect an OpEx level of maybe about $85 million. And we -- that's pretty consistent with what we've been saying.
Michael A. Burton - Brean Capital LLC, Research Division: Great. And then, so still -- we're still unaware of any adoption of the complete RF360 solution yet, but Qualcomm is now shipping its envelope tracker. So some of your competitors are saying that they have an advantage getting some of these early sockets with some of their own systems expertise that they're bringing in. Can you point us to any design wins that are coming right now where your PAs are being used with Qualcomm's or a competitor's tracker?
David J. Aldrich: Sure, yes. I mean, there's really a broad list of opportunities that we've won, and we'll be going into production that utilize envelope tracking. In many cases, what we're seeing is the tracker is not -- the power amplifier comes in separately. The tracker is integrated with the baseband and the SoC. So that's not an issue. We're seeing that in some of the smartphones that are in production now this quarter. And if you go out into 2014, more and more wins for us. And I should also say that in the interim, you are also seeing APT, average power tracking, as an enabler for efficiency. We have very high share with that. And that's with Qualcomm and with others.
Operator: Your next question comes from the line of Tom Diffely from D. A. Davidson.
Thomas Diffely - D.A. Davidson & Co., Research Division: Just another margin question for you here. Your 48% incremental gross margin is very clear. Sounds like that goes up over time as the non-handset business starts to ramp. I'm curious though, on the operating expense side, when you go to more diversified customers, is there going to be a long-term effect on the operating expense with sales and marketing that we need to think about?
Donald W. Palette: No, not any long-term step function change. I think that's kind of the way you're thinking about it. We still think it's very manageable. And the key to us is, all along we've talked about this, we are going to make some targeted investment, but there's a tremendous amount of leverage, and we don't see that going away in the model. So as we add revenue, it's not linear, so that's going to be a key component for us to drive to 30% and beyond as far as our income return.
Thomas Diffely - D.A. Davidson & Co., Research Division: Okay. That sounds good. And then just quickly on the tax rate. You talked about just a modest cash tax rate for this year, '14. Longer term, is there kind of a peak cash tax rate we need to start thinking about?
Donald W. Palette: Well, it's really difficult to do that. Even for a year, it's tough to do it. But beyond that, we've just been saying, we've done some long-term estimates. But for beyond '14, we think in '15, that the good number to use is 12% to 14%. But again, that's a pretty high-level estimate. But we haven't really guided it beyond that. The GAAP and the cash rate will converge a little bit over time, but there will always be a significant benefit. And we're seeing that when you look at the rate posted this year, a little over 7% and business initiatives and restructuring that we've done clearly is adding shareholder value to the company.
Operator: Next, we'll go back to the line of Mike Walkley from Cannacord.
T. Michael Walkley - Canaccord Genuity, Research Division: With the strong cash that you've been generating, can you just share your thoughts on additional buybacks or a potential dividend given your predictable business now with the strong cash returns.
Donald W. Palette: Yes, thanks, Mike. It's something that we look at regularly. We're always analyzing the capital structure because we do have some alternatives to consider. And when you look at the business model and the growth opportunity from the top line and translating that into the 30-plus percent, we just think buying back stock continues to be a really strong way to deliver shareholder value. But you want to balance that with having cash available to maintain financial flexibility for strategic growth initiatives. So we try to balance those two out. We did repurchase 8 million of shares, 8 million shares in '13, which was $173 million. And at some point, dividend is certainly something we would consider as well.
T. Michael Walkley - Canaccord Genuity, Research Division: And Don, just while I have you, can you tell us what you said for the tax rate next year? I missed that.
Donald W. Palette: In '14?
T. Michael Walkley - Canaccord Genuity, Research Division: Cash tax rate.
Donald W. Palette: 10%. 10%.
Operator: Next, we'll go to the line of Edward Snyder from Charter Equity.
Edward F. Snyder - Charter Equity Research: Sorry for all the questions, guys. But overall, your Wi-Fi, is all your Wi-Fi components included in your HPA, none of it is in your cellular at this point, is that correct?
Donald W. Palette: Yes, Ed, in the 40-60 split, the 40% HPA and 60%. In that split, all of the Wi-Fi mobile connectivity business is in that 40%. That's correct.
Edward F. Snyder - Charter Equity Research: Okay. And increasingly, with carrier aggregation release 10 and LTE coming up here, I know there's a lot of designs in the work that focus more on the switching aspects of it, especially the front end of it, of the carrier aggregation. I know that it gets larger. How do you see yourself positioned there? I know of Microtech [ph] too, the antenna switch modules at Apple, which is obviously a key piece for the 2015 or '14 phone. But Skyworks is also very big in SOI and growing. Do you feel that you're in a competitive position for a lot of those designs next year and the year after that kind of focus on CA and the SOI product?
David J. Aldrich: You're right, Ed. And one of the -- really, the big driver of carrier aggregation in terms of overall content is very precise switching algorithm that need to take place. And so, and as I said, I think we are a leader, if not the leader in SOI. And we have a suite of antenna tuners. We've been shipping them for a long time, both before SOI was used in different ways to affect that tuning in an efficient way. And we're all over that with a good portfolio. We expect to see multiple designs in production in 2014. It's just another, albeit highly complex, analog switching algorithm.
Liam K. Griffin: Yes, and I think, Ed, as you know, it represents a substantial increase in complexity and content for providers like Skyworks. We see as many as 30 switch arms in some of the newer smartphones. And absolutely, we're going to be all over it. We've won a couple of major sockets in APAC with carrier aggregation, and we'll be winning more domestically and abroad going into 2014.
Edward F. Snyder - Charter Equity Research: And then, so then Liam, that begs another question there. In carrier -- and there's a lot of talk about it, and I think a lot of investors don't really understand what CA involves right now. But in the big picture, the content increase in CA is mostly focused in what areas? Switching, filtering, PAs, where would you?
Liam K. Griffin: It's in switching. I mean, we're not even talking about the PA. Certainly, when you're in a carrier aggregation environment, you have larger protocols and connectivity, LTE, et cetera, but the switch arms go up substantially. And we've been in this business a long time. We have SOI capability. We have P Amp. We'd probably not use it as much in CA. We have filtering capability. And it's certainly a market that we expect to be a leader.
Operator: Ladies and gentlemen, that concludes today's question-and-answer session. I'll now turn the call back over to Mr. Aldrich for any closing comments.
David J. Aldrich: Okay. Well, thank you, everyone, for participating today, and we look forward to seeing you at upcoming conferences.
Operator: Ladies and gentlemen, that does conclude your conference for today. Thank you for your participation and for using the AT&T Executive TeleConference. You may now disconnect.